Nina Grieg: Good morning, and welcome to Grieg Seafood's First Quarter Presentation. We appreciate that so many have taken the time to join us. My name is Nina Willumsen Grieg, and I'm joined here today by our CFO, Magnus Johannesen. I have been CEO in Grieg Seafood for 8 weeks. However, I've been in the company for 10 years across regions and working in different roles in the full value chain. The last 4 years, I've been heading Rogaland and bring with me firsthand operational experience and a deep understanding of the building blocks of a successful salmon production. I'm entering this role at a challenging time for the company. Grieg Seafood have a long and proud history and a strong asset portfolio, but we are not happy with the results of the previous years. The combination of an ambitious CapEx program, biological challenges and a turbulent geopolitical situation has led us with a financial situation that isn't sustainable. Ensuring financial robustness is at the top of our agenda to create value for all shareholders. I believe both Magnus and myself can bring new perspectives to the company while building on the foundation that is. And with that, let's take a look at Q1 and our key priorities for 2025. For Q1, we delivered an EBIT of NOK220 million or NOK10.6 per kilo, with Rogaland, the main margin contributor. As we have seen lower spot prices than anticipated throughout Q1, this reflects early operational improvements. Farming costs for the full group improved 3.4 kilo versus Q4 due to better biology. We are happy to report that underlying production and growth has been good in all regions. Especially in Norway, growth and biology has been strong, and we went into Q2 with maximum MAB in both regions. We are on track to harvest just below 21,000 tonnes in Q2. A main priority in the quarter have been our financial transformation program. And before heading into operational review, I will give a status on the transformation program launched at the beginning of the year that has been essential for the company. Reallocating resources to our strong Norwegian asset base is the main strategic change. This is not only a shift towards Norway, but a shift from growth to profitability. We will prioritize initiatives that strengthen equity, reduce debt and protect cash flow to maximize shareholder value. Strengthening our financial flexibility has been the main priority through first phase. We successfully placed the NOK2 billion hybrid bond and launched the sale-leaseback of our post-smolt facility in Finnmark. In addition, we're strengthening our financial discipline with the goal of increasing operational robustness rather than growth. In Canada, we continue our focus on maintaining optionality while we explore strategic options and minimize loss-making. Our Canadian regions delivered stable production in the quarter, and we believe there is long-term potential in both coastlines. However, to secure financial strength, Grieg Seafood have reduced committed CapEx of more than NOK600 million, mainly by demobilizing the PSA site in Newfoundland. So, heading into the regions. Rogaland is consistently delivering operational performance in line with leading peers. Harvest volume exceeded guidance by 900 tonnes due to favorable growth and continued low mortality. We're happy to see that our vaccination program for Moritella has strongly improved the share of superior quality fish from 57% last year to 83% this quarter. We report an operational EBIT of NOK260 million, a very strong quarter given the lower prices. As a fish farmer, it's especially rewarding when strong biological performance and resulting low farming costs are the main driver behind our results. While realized prices during the quarter was down NOK13 from Q1 2024, the strong result was driven by NOK8 improvement in cost. This is mainly driven by very strong sites harvested, and we expect to stabilize around NOK60 per kilo from Q2, still NOK3 below previous guidance. An important key event was reached at the end of the quarter when the first fish from Årdal, our new post-smolt facility, was stocked to sea. The fish reached 1.5 kilos at stocking, once again confirming our leading position in post-smolt production. The facility itself remains on track, and the very first generation has exceeded our expectations. In Rogaland, we estimate 9,200 tonnes harvest in Q2 and keep our guidance of 30,000 tonnes for the full year. Moving to Finnmark. I have great expectations for production this year, leaving behind two very challenging years, we entered 2025 with high biomass, and the fish in the sea looks strong in general. Harvest volumes are up 500 tonnes above guiding. We have done some important changes to our production in recent years, a renewed vaccination program, improved treatment capacity, and site structure. I believe we're just starting to see the results of these improvements. The achieved price was NOK81.3, up from last year, driven by size and quality. The share of superior grade fish increased from 47% last year to 64%. While this is still below our target, we're encouraged to see that the vaccine is starting to show positive results. Going into the year with high MAB, the incident of CMS at one site will have no significant effect on overall production for 2025. However, harvesting out smaller fish, we have an estimated effect of NOK25 million to NOK30 million in Q2. We estimate just below 8,000 tonnes next quarter and 32,000 tonnes for the full year, up 25% from last year. Finnmark reports an operational EBIT of NOK110 million, mainly driven by improved prices from Q4, but also by more than NOK3 million improvement in costs. Moving to Canada. In BC, we had no commercial harvest in the quarter, only a small tonnage of bred fish. The result for the quarter ended at minus NOK28 million, and harvest will commence from early Q2. Both freshwater and seawater production have been stable so far into the year. We've had no bigger incidents of low oxygen and algae. However, the fish we harvest in the coming months will have a high cost due to last year's environmental events. 12-month rolling mortality decreased to 84%, mainly due to these prior events. Because of the political situation, both for tariffs and the announced open net ban, we have a cautious investment approach in BC. However, we observed a shift in tone from the new government with an increased focus on economic growth and local employment. We view this as a potentially positive change and look forward to a constructive dialogue supporting long-term viability for salmon farming in BC. We estimate a harvest of 4,000 tonnes in Q2 and 12,000 altogether for the year. Focus remains on cost control, awaiting regulatory clarity. Despite low seawater temperature, we've had good biological performance in Newfoundland with high survival rates. Second-generation harvest concluded in Q1 with a superior share of 95% and strong price realization. Newfoundland is undoubtedly a challenge for Grieg Seafood given our financial situation. Being a greenfield project, it has great long-term potential, but the region is constrained near term by our capital discipline. Production remains subscale, and farming cost is elevated due to underutilization. As we did a significant impairment in Q4, we are working together with our employees in Canada to find a good way forward that is not loss-making. There will be no harvest from Newfoundland in Q2. Harvest will continue in Q4, and the estimate for the full year is 10,000 tonnes. I'll now hand it over to Magnus, who will go through the financial figures.
Magnus Johannesen: Thank you very much, Nina, and good morning, everyone. My name is Magnus Johannesen, and I'm the CFO of Grieg Seafood. I think starting out, Q4 gave us quite a lot to reflect on. We had a big impairment. We had challenging times in the company. And I think it's safe to say that we are yet to be in the green. We are still focusing on our financial discipline. We are still focusing on strengthening our balance sheet, and we will continue doing so until we are able to provide the profitability that our shareholders expect. Yet, we do show in this quarter that we are changing direction. We are moving from growth to profitability. We are moving from being ambitious in Canada to ensuring that we reduce loss-making, focusing on Norwegian regions. Against that background, I'll start going through the financial statement, starting with the profit and loss. So, looking at the top of our revenue, it was positively impacted by increased harvest weights. But when compared to Q4, we do have slightly higher downgrades, but still an improvement year-over-year when compared to the same quarter of '24. Moving then down to our farming cost. Our farming cost comes in at NOK73 per kilo, an improvement from Q4. This is primarily due to that the cost of fish harvested and the cost of reduced survival are lower than what we expected. At the same time, we also have to look at the EBIT. Our EBIT for the quarter, and for all regions, is NOK10.6 per kilo. However, if we isolate our Norwegian assets, we have an EBIT per kilo of NOK 24, which we do believe shows the potential of profitability in our Norwegian assets. Going then to our operational EBIT in sum. Our operational EBIT is approximately NOK221 million, but this includes NOK68 million of one-off costs related to organizational changes and related to demobilizing the PSA site. Of course, this is a high one-off cost, but it's also necessary to do the required changes in our direction back to our Norwegian assets. I will not go into the details of the net financial items, but I think it's good to say that you can find the details of how we manage the hybrid bond in Note 7. So, I will leave that to self-study. Moving then to our cash flow. I think to highlight one key topic, we have improved the cash situation in the company with approximately NOK1.2 billion. And this is necessary because we came into the quarter with significantly low cash reserves, and we had to do strict -- had to do very quick actions, hence, the hybrid bond. If we then break the cash flow down to the three components, we do see our operational cash flow come in at positive NOK158 million, impacted of our building down biology and the biomass and also the changes in working capital. In terms of our investment, it comes in at a total of NOK167 million. This is significantly reduced compared to quarters because we do not yet -- we do not longer allocate the same amount of capital to Newfoundland. I will come into the details of that later. And then, of course, we have quite a big post here on financials. So, this is, of course, due to the hybrid bond being placed at gross NOK2 billion. But at the same time, we have allocated this to repay our debt, and we will allocate this in full for repaying our debt. Hence, we paid down NOK500 million on our bridge loan facility that we took off in Q4 '24, and we also repurchased NOK173 million of bond shares in Q1. The remainder of the hybrid will be allocated towards repaying the green bond of approximately NOK1.2 billion. Going then to the investments. I think it's important for me to say that we are investing against 2 key strategic rationales. One, we are increasing the robustness and operational stability in our company, focusing on our Norwegian assets and ensuring reduced loss-making in Canada. Secondly, we are expanding downstream, finalizing and continuing our secondary processing facility at Gardermoen, and we are on track on delivering on that timeline. Against this strategic background, we are investing NOK167 million in the quarter, predominantly tied to growth investments or robustness investments on post-smolt in Finnmark. The expansion of Adamselv is on track and on budget, and we are very happy to report that we do expect fish to be put into that facility in early '26. In terms of maintenance investments, this is tied to ensuring the operational stability in Finnmark and of this half is tied to Finnmark. Going forward, we will still maintain our investment strategy, and we expect to invest approximately NOK800 million for the remaining of the year and hence, standing firm on our guiding of total investments of approximately NOK950 million. Having some water before the topic of today, net interest-bearing debt. I think I want to start this page about addressing two things. So, one, we acknowledge that our hybrid bond is not a long-term solution for Grieg Seafood. We see this as a temporary fix to ensuring that we have the sufficient buffer on assessing the way forward for Grieg Seafood. Secondly, we do believe that we are committed to addressing our balance sheet. We also agree that we cannot continue with this current leverage that we have in our company. We're taking this seriously, and we will continue doing so. With that being said, I think I mentioned many of the things already on this page. But going out of this quarter, including undrawn credit facilities, we have approximately NOK2 billion in free liquidity as of going into Q2. The rest is quite heavily detailed in the report. So, I will then take any questions afterwards if needed. To sum up the financial transformation. This is a very -- yes, a lot of text, a lot of boxes, but let me try to take you through what we have done. We went into Q4 with a difficult financial situation, and it is still difficult. But we said during Q4 that we would do three financial levers to achieve better financial stability and flexibility. We did 2 out of 3. And the third one is ongoing. We placed the hybrid bond and also did a hedge on that interest on the NIBD tied to that hybrid bond. Secondly, we did review our CapEx in Canada, also an operational review in terms of ensuring not continuing loss-making. And this yielded the results as expected. We are not no longer in any risk of breaching our covenants, and we do have sufficient cash to continue operational efficiently. And then on the sale leaseback, this is still in progress. But when we presented this on the 20th of February, the interest from foreign investors were significant. Hence, we listened to the feedback that we received from our shareholders, took a step back and are relaunching this as our infrastructure investment to international investors. We do see this sale leaseback to be closed in the second half of the year. To sum it up, we are continuing this effort, and we also appreciate the support in these measures. And on that note, I will hand it back to Nina to go through the outlook.
Nina Grieg: Thank you. As I said, we went into 2025 with a renewed energy, I think, as a company. For market outlook, the long-term fundamentals remain strong. However, prices this year will be low, and that is, of course, somewhat of a worry for us as a company. Norwegian export volumes are up 19% in the quarter, with higher superior grades and harvest weights. And I believe it's a long time since we've seen these good environmental conditions across the board. Spot prices was consequently lower and more volatile than expected coming into the year, and we're monitoring price expectations closely. We have a total contract share for our Norwegian volume of 30% for Q2 and 26% for the full year. While tariffs are not good for any industry, I believe salmon has repeatedly proven to be resilient to geopolitical shocks. We believe that the direct effects from today's tariff levels are limited, and then zero tax agreement from Canada to the U.S. is positive for our Canadian business. We are working to increase our presence in the market. And in Q1, construction of our value-added processing facility at Gardermoen is progressing as planned, and we aim to implement production late this year. The strong production from Q1 have continued into the second quarter, and we believe we have a robust volume guidance for the year with 84,000 tonnes across the four regions. As a result of strong biology and continued focus on cost control, we expect underlying cost per kilo to improve. However, as mentioned, Q2 will see somewhat higher costs in Rogaland and Finnmark. So, to sum it up, we are moving in the right direction. But for Grieg Seafood, 2025 is a transition year focused on cost control, capital discipline, and full execution of our transformation road map. As a new management team, we are assessing all regions to see how we can reach full potential to create shareholder value. And we're focusing on financial stability, operational enhancements, and future improvements. So, while the past quarters have tested us, they've also clarified where our strength lies and where our focus must be placed. Politics and regulations are changing fast, both in the marketplace and across our production regions, latest with the white paper Havbruksmeldingen in Norway. For Grieg Seafood, we have acknowledged that we need to shift our focus from growth to profitability, and that will position us for the future. And with that, Magnus can come up to the stage, and we can open for questions.
Q - Unidentified Analyst: [Indiscernible] Could you say something about the differences in terms between the players you discussed the sale leaseback with earlier on and the more, I guess, international infrastructure players you're in discussions with now?
Magnus Johannesen: Yes, we do expect approximately 5% to 10% value uplift on the sale leaseback.
Unidentified Analyst: Alex Okten from DNB Carnegie. Just on the cost guidance in Rogaland, it's in the mid-50s now, slightly higher in Q2. And you mentioned NOK60 for the full year, implying that the second half will be higher than NOK60. Can you just try and clarify why cost is increasing in the second half?
Nina Grieg: I think, first of all, in Q1, we harvested from specifically very good sites. And I think NOK60 is more our long-term target in that region.
Unidentified Analyst: And in terms of the strategic review you had on the Canadian business, it was postponed due to the uncertainties with tariffs, et cetera. Now it seems like the tariff situation might have eased off a bit. Is that something that could be reinitiated?
Nina Grieg: I think we have been open to that we are looking into all opportunities in Canada. I think, as I said, there is a great potential in both those regions, but Grieg Seafood cannot lift those regions on our own. So, looking into various opportunities.
Unidentified Analyst: And final question on Finnmark, the one-off, the NOK25 million to NOK30 million, that's a pure cost increase because of the smaller fish. It's not including the price effect of smaller fish. Is that correct?
Magnus Johannesen: It's all in. Yes, we managed to sell approximately 50% of the harvested fish on our price campaign, that yielded very good results.
Unidentified Analyst: So, it's basically all in 25 %. Okay. Thank you.
Christian Nordby: Christian Nordby, Arctic Securities. Just a clarification on BC. You guide cost next quarter in line with Q4 '24, but there, you had no volumes then?
Magnus Johannesen: Selling a stake, it should be Q1.
Christian Nordby: Q1 '24. Okay. And in terms of liquidity during Q2, you will repay the bond, and then you will do the sale-leaseback during the second half, as you said. You will obviously have enough cash as I see it today, but it's going to be relatively tight. Are you going to have increased RCFs in some ways? Or how do you think about that?
Magnus Johannesen: We do focus on ensuring that we have sufficient cash to operate it, but that's also why we are safeguarding our RCFs of approximately NOK650 million to allow for drawing on that if needed. But we do believe that we should have sufficient cash. And then with the sale leaseback, additional NOK1.12 billion, which will be sufficient for the whole year and coming year.
Christian Nordby: Thank you.
Unidentified Company Representative: Take a few questions from the web from [indiscernible]. Are you in any conversation regarding sale of the Finnmark region? And have you received any kind of nonbinding offers for the Finnmark region?
Nina Grieg: Our main focus is to create value in the regions that we have. And I know there are a lot of rumors out there. We don't comment on those.
Unidentified Company Representative: So, the follow-up on what's the probability of initiating strategic review of more regions in Grieg Seafoods regarding sale split up?
Nina Grieg: I think that was the same question as before. So, I stand with that answer.
Unidentified Company Representative: And regarding Canada, from Alexander Lindman, following the write-downs that in Canada, that has kind of contributed to the loss in Q1, are there any scenarios where these values can be reversed or realized through a sale or partnership?
Magnus Johannesen: So, if you do a sale or partnership, you would have a fair value, so then you would not write it off. That will be a profit or a loss. If we were to own them ourselves, the threshold for reversing an impairment is quite high. It's always an opening in the standards, but we are not focusing on optimizing for reversing write-offs. We don't think that is a high bar for us, yes.
Unidentified Company Representative: That was all from the web.